Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Alkermes Plc conference call to discuss the company’s financial results for the quarter ended June 30th, 2013. At this time, all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being recorded at Alkermes’ request. At this time, I would like to introduce your host for today’s call, Ms. Rebecca Peterson, Senior Vice President of Corporate Communications at Alkermes. Please go ahead.
Rebecca Peterson: Thanks very much. Welcome to the Alkermes conference call to discuss our financial results for the quarter ended June 30th, 2013. With me today are Richard Pops, our CEO; Shane Cooke, our President; and Jim Frates, our CFO. Before we begin today, let me remind you that we will make forward-looking statements relating to, among other things, our expectations concerning the commercialization of RISPERDAL CONSTA, INVEGA SUSTENNA, AMPYRA, FAMPYRA, BYDUREON and VIVITROL, our future financial expectations and business performance, and our expectations concerning the therapeutic scope and value and clinical development of our products. Listeners are cautioned that these forward-looking statements are neither promises nor guarantees, and are subject to a high degree of uncertainty and risk. In our press release issued today, our Annual Reports filed with the SEC and our other filings with the SEC identify risk factors that could cause our actual performance and results to differ materially from those contemplated by the forward-looking statements. We undertake no obligation to update or revise the information provided on today’s call today, as a result of new information or future results or developments. This morning, Jim Frates will discuss our financial results, and then Richard will provide a brief update on the company. After our remarks, we’ll open up the call for Q&A. Now, I’d like to turn over the call to Jim.
Jim Frates: Thanks, Rebecca. Good morning, everyone. This has been another solid quarter for us financially and the business is on track for a strong year. As you may know, last week we hosted an R&D day and highlighted key aspects of our growing pipeline, through developing important assets with strong competitive positions in major markets. Thanks to the performance of our commercial portfolio, especially our five key products, we have the ability to generate cash flow even as we invest in our pipeline of potential blockbuster products. Now, let me walk you through the results for the quarter. We recorded total revenues $138.6 million, driven primarily by the growth of our five key products, which grew 22% compared to last year, and now represent approximately 71% of our total revenue compared to approximately 61% in the same period last year, excluding the $20 million in intellectual property license revenue we receive last year. We expect a solid growth of our five key products to continue to drive our business while we develop our pipeline. Now, let me update you on the results from our commercial portfolio. First, revenues related to our long-acting atypical franchise, RISPERDAL CONSTA and INVEGA SUSTENNA, were once again the most significant contributors to our topline during the quarter. End-market sales for RISPERDAL CONSTA and INVEGA SUSTENNA during the quarter were approximately $627 million. The combined franchise grew approximately 14% on a dollar basis and nearly 15% on an operational basis year-over-year due to an increase in combined market share. For the quarter, Alkermes recorded manufacturing and royalty revenues of $56.2 million for this product franchise compared to $48.6 million for the same period last year. Next, manufacturing and royalty revenues for AMPYRA and FAMPYRA were $19.9 million during the quarter. While the quota has not yet reported end-market sales for the quarter, it used [ph] to launch FAMPYRA on a country-by-country basis. VIVITROL had a very strong quarter, with record net sales of $17.4 million, representing a solid quarter of growth. Compared to last year, this is an increase of approximately 40%. For BYDUREON, Alkermes recorded royalty revenues of $5.4 million based on worldwide end-market sales of $66 million as reported by Bristol-Myers Squibb this morning. Bristol-Myers and AstraZeneca are focused on growing the brand and introducing the pen device to the market in the coming year. In addition to our five key commercial products, during the June quarter, Alkermes earned revenues from legacy products, the most significant of which were $11.2 million from the combined RITALIN LA/FOCALIN XR franchise. As we mentioned last year, our financial expectations for the nine-month period ending December 31st, 2013, anticipate the erosion of the FOCALIN/RITALIN franchise, assuming a generic entry for FOCALIN during the summer. To date, we have not seen a generic entry, but that could come any day, so we’re watching that market carefully. As predicted, TRICOR 145 revenues continue to decline following generic entry last year. For the quarter, we reported TRICOR 145 revenues of $4.1 million, down from $12 million last year. For the quarter, the business generated non-GAAP net income of $42.9 million and free cash flow of $39.2 million. This is a very solid quarter and the business is performing as we expected. From a cash perspective, as of June 30th, 2013, we had $325 million in cash and total investments. As a reminder, we have changed our fiscal yearend from March 31st to December 31st, and as part of that transition, we will report a nine-month fiscal period ending December 31st, 2013. We are on track with our financial expectations originally provided on our May conference call and are reiterating those expectations today. Consistent with that, we expect R&D and SG&A expense to trend higher for the remainder of the calendar year. With an exciting pipeline and a solid commercial business, we’re very optimistic about the year ahead. With that, I’ll turn the call over to Richard.
Richard Pops: That’s great. Thank you, Jim, and good morning, everybody. So as Jim as outlined, with a strong financial foundation from our commercial product portfolio and our exciting pipeline of NMEs, we have built a very distinctive biotech companies with multiple opportunities for exceptional growth and value. This balance in optionality is entirely by design and is key to our strategy of building one of the next major biopharmaceutical companies. Last week in our R&D day we’ve presented a deeper look into a unique set of capabilities that’s resulted in an R&D engine that’s differentiated, patient-focused, and productive. There are several recurring themes in our development approach and the drug candidates that we generate. Our focus is on developing medications inspired by the real-world experience of patients suffering from chronic diseases. We build our development programs on a foundation of known pharmacology and clinical practice, and then apply new layers of science and insight to create new medicines with real value for patients and for other stakeholders in the treatment system. We think that there are huge opportunities in leveraging known scientific and clinical understanding and, by tuning it and improving it and not in a subtle way, we’re creating significant incremental value. Our rigorous clinical development process incorporates state-of-the-art clinical trial techniques and robust study designs so we can obtain data quickly to rapid decisions about our pipeline investments and maximize the probability of success. At our R&D day, we unveiled three important new preclinical candidates. I encourage you to visit the website for the archived webcast to get a more comprehensive review of those candidates. But I’ll summarize them here for those of you who weren’t able to join us last week. The first is our program for creating novel pro-drugs of mono-methyl fumarate, or MMF, for the treatment of multiple sclerosis. This program has resulted in novel small-molecule pro-drugs designed to rapidly and efficiently convert the MMF in the body and may offer advantages over the currently marketed dimethyl fumarate drug TECFIDERA. We also announced that we’re developing ALKS 7106 for the treatment of pain. 7106 is a novel small-molecule from our opioid modulator platform and is a potent oral analgesic designed for the treatment of pain. Its originality derived from its intrinsically low potential for abuse and overdose death, two significant limitations often associated with other opioid medicines. This is an area of great concern as a matter of public health and safety, and ALKS 7106 is designed specifically to be responsive to this need. And RDB 1419 is a promising cancer immunotherapy based on IL-2 and its receptors and is our first biologic to enter clinic from our labs. It’s designed to be a new immunomodulator for the treatment of various cancers, leveraging vast amount of scientific information on IL-2 biology and improving upon it. And it’s designed for using combination with other cancer treatment, including the most modern agents like the checkpoint inhibitors. These three new candidates are being readied for human clinical trials. Each is important as an individual candidate, but together, they reflect our expanded R&D capabilities, remarkable productivity, and, in effect, double the size of our pipeline. These product candidates emerged successfully from rigorous preclinical development and are advancing towards the clinic in major disease areas on a strong foundation of scientific evidence. Our later-stage compounds continue to advance. Last week, we announced that we begun enrolling a phase II study for ALKS 3831, our proprietary oral atypical antipsychotic for schizophrenia. 3831 is designed to offer a broad spectrum of benefits by combining the efficacy of olanzapine with the opioid modulating properties of ALKS 33. The phase II study just initiated will define the benefit of ALKS 3831 in attenuating olanzapine-induced weight gain compared to olanzapine alone. In addition to that phase II study, we’re also playing another phase II study for patients for the dual diagnosis of schizophrenia and comorbid substance abuse. For ALKS 5461, our proprietary opioid modulator with a novel mechanism for the treatment of major depressive disorder, based on the compelling phase II study results, we’re preparing for our end of phase II meeting with FDA and are planning to start our pivotal program in early 2014. For our most advanced candidate, ARIPIPRAZOLE LAUROXIL, for the treatment of schizophrenia, the multinational phase III program continues to enroll. This is a once-monthly injectable atypical antipsychotic that, once in the body, converts into ARIPIPRAZOLE. We’re expecting topline data in the first half of 2014 and expect to launch in 2015 following the patent expiree of oral ABILIFY. This product represents a major near-term opportunity for us and it’s designed to be a generational advance in dosing flexibility and in product presentation. You’ve got some insight last week into our commercial preparations which are already gaining momentum. In addition to these pipeline assets, we have a remarkable portfolio of commercial products – RISPERDAL CONSTA, INVEGA SUSTENNA, VIVITROL, AMPYRA, and BYDUREON. We believe that each of these products is addressing an unmet medical need in a growing market and each has a long patent life with little risk of generic competition for many years. Our partnered products are critical growth drivers for our partners. Most of these drugs are early in their commercial lives and are expected to have accelerating growth over time. Our team here has tremendous enthusiasm and optimism for the future. We believe we’re positioned to have a major impact on people’s lives. Alkermes’ transformation is becoming evident. We’re a growing profitable company with an industry-leading commercial portfolio and one of the most exciting and diverse development pipelines in biotech. We’re in a unique position that employs for substantial growth as we move these development programs forward, aiming to get them to patients as quickly as possible. We expect many more exciting developments in the year ahead. And with that, I’ll turn the call back to Rebecca and we’ll open for questions.
Rebecca Peterson: Great. Operator, we’ll now open it up for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. (Operator instructions) And our first question comes from Anant Padmanabhan from Cowen & Company. Please go ahead.
Anant Padmanabhan – Cowen & Company: Hey, guys. Thanks for taking my question. I actually have a couple. I realized you’re just coming off the R&D day, so I apologize if you’re repeating yourself in any way. Could you talk a little bit about European plans for 9070? I realized you’re doing the phase III trial now which seems international, but is that phase III European plan under way and how do you expect to execute that?
Richard Pops: Good morning, Anant. It’s Rich. I’ll answer that one. The program they’re running right now for 9070 is an international study focused on US approval. Our agreement with FDA is a single study that will support registration in the US. And we’re running a study with a balance between patients in the US and outside the US. It’s two things for us. One, it’s allowing us to run the single well-controlled study for US registration, but it’s also giving us the infrastructure and experience for these international studies for subsequent studies. For European registration, we will run a different study and a second study likely with an active comparator. But we have a lot more experience now in running these international studies. It’s also the subject of discussions with potential partners.
Anant Padmanabhan – Cowen & Company: Okay. And then on VIVITROL, it seems like there’s some nice growth here. Could you talk about the potential for price increases on this drug?
Richard Pops: I won’t. I’ll just say that we think we’ve priced the drug correctly and the price has been relatively constant for the last couple of years. And what we’re starting to see is just more and more traction from the use of VIVITROL. So it’s not something we’re going to be focused as much in price as we are as we focus on increased penetration utilization.
Anant Padmanabhan – Cowen & Company: Great. Thank you.
Richard Pops: You’re welcome.
Rebecca Peterson: Thanks, Anant. All right, Paula, we’ll take the next question.
Operator: And our next question comes from Jonathan Eckard from Citigroup. Please go ahead.
Jonathan Eckard – Citigroup: Thank you very much. So I just had a couple similar questions. With regards to VIVITROL, could you talk a little bit about some of the dynamics of growth that you’re seeing? And the drug, it seems to be tracking about $80 million a year or so now. Could you remind us of what the breakeven point is from profitability of this franchise? And the recent growth has been more of a bullish effect or is it something where you just – more of a continuous sustainable trend in growth that you’ve seen? Then I have a follow-up on 5461.
Richard Pops: Hey, Jon. I think what you’re seeing with VIVITROL is consistent with what we’ve been guiding to, it seems, the last several course, which is a steady increase in utilization of this drug, and it’s not driven by any discontinuities at this point. For example, all the work that’s going on in the States and the criminal justice system still continues to be a small part of the business, but very important feeding that’s happening out there in the country. So we remain really optimistic about the future of VIVITROL, but very conservative about the way we forecast it going forward. We continue just to believe in the steady, consistent growth. And that’s driven by the efficacy of the product. The breakeven question, I think, we’re past the breakeven point now on VIVITROL. It’s a self-sustaining product at this point and with a long patent life and starting to get a little bit of momentum. It continues to be a really important part of the portfolio.
Jonathan Eckard – Citigroup: Great, thanks. And then with regards to 5461, and I apologize because I wasn’t able to participate last week, just thoughts on the strategic future of that program change. Now that you’ve outlined a much broader R&D portfolio, do you view the strategic events to optimize both that value and the value of these other assets differently than what you have maybe a few months ago with regards to establishing a partner to most rapidly develop that asset?
Richard Pops: I think that there’s a couple of questions embedded in there. One is that, I think, people are beginning to realize just how remarkably diverse and rich this portfolio has become. And there are six medicines now. Any one of these could be a blockbuster advancing in clinical trials. So there are two stages to this. One is what we’re going to do in the immediate future, which is we’re going to advance all six of these programs as aggressively as we can. We have the capital, we have the development resources, we have the clinical interest, we have the infrastructure. It’s all very, very positive right now. And we know precisely the next stage of studies that we need to do for each of these programs. The longer term, I mean, how do you bring these products to the market to get them to the most patients around the world as fast as possible and drive the maximum economic value. We believe that the collaboration will be an inherent part of that if this whole portfolio advances. And so that’s why we’re kind of running the experiment continuously. We’re in discussions with pharmaceutical companies on a regular basis, and it does two things for us. One is that it helps determine who might be an appropriate partner and determine the economic value of those partnerships. But also, it helps us – it gives us a way of doing diligence, if you will, and vetting the data that we developed in our own labs and make sure that other people believe and see what we see in the development programs. And that’s very reassuring when you see concordance with sophisticated parties.
Jonathan Eckard – Citigroup: Great. It’s very helpful. Thank you very much.
Rebecca Peterson: Thanks, Jon. We’ll take the next question.
Operator: And our next question comes from Cory Kasimov from JPMorgan. Please go ahead.
Cory Kasimov – JPMorgan: Hey, good morning, guys. Thanks for taking the questions. Given your thorough pipeline review last week, I won’t ask specific ones on the pipeline. But from a bigger picture standpoint, when we think beyond 2013, can you talk a little bit about how you want to try and strike a balance between your increasing cash flow and properly investing in the growing pipeline? And then my second one is following up on VIVITROL. And Rich, can you talk a little bit more about those underlying efforts you spoke to to spark uptake in the criminal justice system and when we might ultimately begin to see data presented from the ongoing pilot studies? Thanks.
Richard Pops: Okay, yeah. Cory, I think we’re in such a strong position right now at Alkermes because we have this rich pipeline and this commercial engine that’s generating ongoing cash flow to advance these pipelines. And so we think it’s entirely possible to invest aggressively in the pipeline and still maintain significant profitability. So we’ll guide. If we’ll guide as we guide on a year-by-year basis driven by the successes and failures in the pipeline as it advances, when we guided for this period, we had a strong sense already that these new candidates would be advancing into the clinic. The first clinical trials for these new candidates are relatively inexpensive and as the 9070 or ARIPIPRAZOLE LAUROXIL phase III begins to tail off, we’ve got room in the P&L to accommodate that. So we feel quite comfortably we can do what we need to do in the near term. VIVITROL is interesting because, as I said in response, I think, to Anant’s question or Jon’s question, we have so many things going on in the States now. There’s I think 21 plus states now that are running pilot programs in various aspects of criminal justice or in state-driven programs. And the data are very, very positive. Now, it’s important to state, though, that when a county or a prison or a jail or a treatment partner runs a study and collects data, it’s not like data that you’re used to seeing. This isn’t randomized, controlled clinical trials for publications and peer review journals. The data are often fairly sparse and somewhat anecdotal, but very powerful in that local system. So don’t look for a major publication of data from these pilot programs, although they are being published and rolled out in certain ways. And we can keep you apprise to those as it happens. But to me, the most important data is almost the fact that 21 states, independently, are doing things with VIVITROL in multiple counties. That represents data on its own, showing this kind of pent-up interest in the use of long-acting antagonist therapy to complement what they’ve been doing with buprenorphine in these states.
Cory Kasimov – JPMorgan: All right, that’s helpful. Thanks.
Rebecca Peterson: Great. We’ll take the next question.
Operator: And our next question comes from Michael Schmidt from Leerink Swan. Please go ahead.
Michael Schmidt – Leerink Swan: Hi, thanks for taking my questions. I had one on 9070. Could you update us on the enrolment progress in the trial, how many patients are enrolled to date? And I was wondering, as part of your quality control program in that trial, how many patients are excluded as part of the monitoring process. And I’m also wondering what prior treatments were patients on when enrolling the trial. And then my second question was on AMPYRA and VIVITROL. Have there been any significant changes in channel inventories for those two products? Thank you.
Richard Pops: Hey, Mike. I’ll take the first one. The 9070, we don’t give period-by-period updates on an actual number of patients. We’ll update you guys when we complete enrolment. And I should say, qualitatively, the enrolment is going well. We now have a large number of sites up and rolling outside the US to complement what we did in the US. So we’re very happy with the enrolment. And what’s important about that is the second part of your question, which is, it’s not just number of patients. It’s quality of patients, because we’re testing this drug in the acute schizophrenia setting. Unlike depression, this diagnosis is a little bit more clear. And so, I wouldn’t expect to see the same number of rejections from randomization that you would see in a depression study. But the focus on quality is the same as it would have in our 5461 study. AMPYRA and VIVITROL –
Jim Frates: Yeah, I’ll take the inventory question, Michael. It’s Jim. For FAMPYRA and AMPYRA, actually, you’ll have to talk to Acorda about channel inventory. We don’t have any insight into that, although their ordering patterns are steady and on plan for the year. In terms of VIVITROL, we actually haven’t seen a major change in channel inventory, and so, again, we’re quite happy with the growth in end-user demand that we’re seeing.
Michael Schmidt – Leerink Swan: Okay, great. Thank you.
Rebecca Peterson: Thanks, Michael. All right, Paula, we’ll take the next question.
Operator: Our next question comes from Ami Fadia from UBS. Please go ahead.
Ami Fadia – UBS: Hi, good morning. I had two questions. Firstly, this was a high-level question, and I wanted to kind of get your thought process around how you will do the tradeoff between continuing to invest on your growing pipeline and allowing some of the profits from the existing portfolio to drop to the bottom line. And at the time of the EDT deal, I think you alluded to some type of a focus with respect to growing the EBITDA for the company. Are you at this point willing to give us some type of a target in terms of earnings growth over the next couple of years? Then I’ll come back to the next question after.
Richard Pops: Hi, Ami. It’s Rich. I think that we have to look at what the basic elements are of the company right now, which is this financial engine that is going to drive growing revenues for the several years and this pipeline that has just kind of matured and is maturing in a really explosive and exciting way, quite faster than we would have originally modeled. The other thing is that it’s sufficiently broad and sufficiently diverse that there are almost infinite numbers of permutations of business development combinations we can do to attenuate spend, diversify, mitigate risk, and expand the opportunity. So there’s no answer to the question at this moment, because what we’re doing is we’ve just recently come public a week ago with this other pipeline element. There’s already interest in these things. We’re going to move into clinical trials and really establish human proof of concept very expeditiously, and then we’re going to have a lot of optionality. So our philosophy is still the same, which is we love still to be known as a company that have significant profitability while still advancing a really exciting group of pipeline projects. But beyond that, it’s difficult to forecast more than we’ve given guidance.
Ami Fadia – UBS: Okay, great. Just, I guess, the second question, let me just make it a two-part question. Firstly, just on AMPYRA, the sales or the revenues booked in the quarter, was there any catch-up recognition for Germany in the quarter? And just secondly, and maybe this is for Jim, with respect to the R&D expenses, how should we think of that progressing over the next maybe three years from your current guidance range? Thanks.
Richard Pops: I mean, I’ll answer the second question first because I think it’s the answer I just gave you, which is, refer to answer number one. With question number two, Jim.
Jim Frates: Yeah, on AMPYRA, there were no real special ketchup revenues this quarter. The German pricing was established actually back in January. So, that adjustment would have been made in the March quarter. So AMPYRA was fairly straightforward this quarter from our manufacturing and royalty revenue basis.
Ami Fadia – UBS: Thank you.
Rebecca Peterson: Thanks, Ami. We’ll take the next question.
Operator: And our next question comes from Mario Corso from Mizuho USA. Please go ahead.
Mario Corso – Mizuho USA: Good morning. Thanks for taking my questions and congratulations on a good quarter. A couple of financial-oriented questions. On the older product for FOCALIN XR, do you have good visibility on the timing of generic entry? I know there were some more recent settlements and I’m not sure if that or the FDA approval of a generic is the gating factor. On TRICOR 145, I’m wondering if we’ve kind of hit a steady state now or if you see any real change of foot in the small revenue stream there. And then on BYDUREON, we haven’t seen a lot of growth in that line the last couple of quarters, I’m just wondering if you could talk about how you see that going forward. Thanks.
Jim Frates: Sure, Mario. And I think it’s really important as we’re talking about TRICOR which comes in at $4 million in a quarter. Yeah, I think on a P&L, it’s going to do well over $500 million for the year. I think we’re not too focused on TRICOR revenue. It will bounce around a little bit depending on how the generics go. I think on FOCALIN, it is hard to predict when the generic entry will be because it’s really predicting FDA timing at this point. And I think that, further, as we go forward, any upside for that franchise will be very solid for us. But with our big five products being over 70% of our revenue, I think that’s really where the focus is for us as we manage the business. On BYDUREON, I think the attributes to that product are very solid. It’s the first once-weekly treatment in diabetes. We believe in that profile and we think that that franchise and the GLP franchise as a whole is going to continue to grow over time. And one of the benefits of having such a broad portfolio that we have is that we can – if one quarter is particularly light or strong in a given product, it tends to be made up by the other products in the portfolio. So I think we’re seeing that. So I think we’re optimistic about the future. And again, the big five products are all doing very well as a whole.
Rebecca Peterson: All right. Operator, we have time for one more question. I know it’s a busy earnings season, so we’re going to try to make this call [inaudible].
Operator: And our next question comes from Terence Flynn from Goldman Sachs. Please go ahead.
Unidentified Analyst: This is Louie Ann [ph] for Terence. A lot of my questions were answered, but I just wanted to follow up on the two pipeline products. Do you have any timing on the start of the second phase II programs for 3831 and on 5461? Are you thinking about looking into other indications outside of depression? Thanks.
Richard Pops: Hi. Two good questions. The second phase II study for 3831 will be in that dual diagnosis patient. We’ll start that sometime in 2014, but we just don’t have precision yet because we’re going to meet with FDA for specificity on the dual diagnosis patient. 5461, it’s really interesting because we do believe that it has potential utility and indications outside of major depressive disorder. But our clinical focus, certainly, as we move into ‘14, is to launch this broad phase III program. And so that will come first, but you can bet that there will be some other exploratory analyses of 5461 in other psychiatric disorders.
Rebecca Peterson: Great, everyone. Thanks very much for dialing in today. And if you have any additional questions, please don’t hesitate to call us here at the company. Have a good day.
Operator: Thank you, ladies and gentlemen. This concludes today’s conference. Thank you for participating. You may now disconnect.